Operator: Greetings and welcome to the Boxlight Corporation Third Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Laura Bainbridge, Addo Investor Relations. Please go ahead.
Laura Bainbridge: Thank you. And welcome to the Boxlight Corporation third quarter 2018 earnings conference call. By now everyone should have had access to the earnings press release, which was issued today at approximately 4 o'clock Eastern time. This call is being webcast and is available for replay. In our remarks today we will include statements that are considered forward-looking within the meanings of securities laws including forward-looking statements about future results of operations, business strategies and plans, our relationships with our partners and resellers and market and potential growth opportunities In addition management may make additional forward-looking statements in response to your question. Forward-looking statements are based on management's current knowledge and expectations as of today November 13, 2018 and are subject to certain risks and uncertainties and may cause the actual results to differ materially from the forward looking statements. A detailed discussion of such risks and uncertainties are contained in our most recent Form 10-K and in other reports filed with the SEC. The company undertakes no obligation to update any forward looking statements. On this call we will refer to non-GAAP measures that when used in combination with GAAP results provide us with additional analytical tools to understand our operations. We have provided reconciliations to the most directly comparable GAAP financial measures in our earnings press release which will be posted on the Investor Relations section of our website at and investors.boxlight.com. And with that, I'll hand the call over to Boxlight's Chief Executive Officer, Mark Elliott.
Mark Elliott: Thanks, Laura and good afternoon everyone. We're very pleased to speak with you all again. It was another strong quarter for Boxlight. Revenues for the quarter totaled $10.2 million consistent with the same quarter last year. However, we ended the quarter with $5.7 million in deferred revenue, an increase of $4.6 million over the same quarter of last year. The combination of recognized revenue and increase in deferred revenue resulted in our strongest quarter to-date. Importantly the positive momentum has continued into the fourth quarter. We entered the quarter with $4.1 million in back orders and over $4 million in deferred revenue that we expect to recognize before year-end. As a result, we are forecasting that Q4 will be the strongest revenue quarter in our history at over $11 million. Revenues for the first nine months of 2018 were $25.9 million, up 27% over the comparable period last year. Year-to-date revenues continue to benefit from greater adoption of our existing product suite, continued product introductions and growth in our reseller network. Importantly, momentum through the important back-to-school season was strong. During the quarter we provided Boxlight's products to thousands of classrooms across the United States, including new installations in McMinn County, Schools in Tennessee, Huntington Beach City Schools in California and Connellsville Schools in Pennsylvania. In McMinn County we added 115 ProColor interactive flat panels throughout the district. Last year the district purchased and installed 267 ProColor units for a total purchase of 382 interactive flat panels displays. In California's Huntington Beach City School District, we will be adding 60 MimioSpace collaborative systems to nine schools throughout the district. The addition of MimioSpace and other Boxlight products including Boxlight Lab Disk and ProColor Touch Tables reflects the district's focus on its expanding technology initiative, which aims to transform the learning process for students, favoring a more collaborative and engaging environment. In Connellsville, a large rural district South of Pittsburgh approximately 4,400 students will gain access to tools that will help them thrive in a 21st century learning environment. In partnership with Boxlight, the district invested in 270 in ProColor Interactive Flat Panels and has implementing a one to one program with Chromebook and myriad other tools that help level the technology playing to over teachers and students alike. Connellsville is a great example of how districts can use technology to affordably expand the ways in which educators teach and students learn. We were awarded several competitive bids for large and prestigious school districts during the quarter, including San Diego Unified School District in California, which could potentially be up to 8.000 classrooms. Martin County School District in Florida, which could potentially be approximately 1,000 classrooms. Broward County Public Schools in Florida, [indiscernible] schools in Louisiana, West Bloomfield School District in Michigan, Stephens County District in Georgia and a Cooperative Education Purchased Council in Colorado representing approximately 70% of the K12 public school enrollment in the state of Colorado. We were selected for a similar bid for Interactive Displays with our partner Troxell for the Iowa Area Education Agency, a buying consortium representing 514,000 students. We also continue to fulfill significant customer orders for Clayton County Public Schools in Georgia, Buford County Schools in South Carolina, Prince George’s County Public Schools in Maryland, Atlanta Public Schools in Georgia, Rockwall Independent School District in Texas, Anderson School District One in South Carolina and Coweta School Systems in Georgia. In addition to our domestic wins, we also continue to expand our reach in international markets. I recently returned from UK where I had an opportunity to spend some time with our newly acquired Cohuba team. Since the acquisition, we've been adding senior level sales talent to help grow our presence in the UK and Europe. I'm pleased to report the team is seeing good traction and we've seen meaningful growth in our sales pipeline, including through the addition of Complete Technical Solutions or CTS as a value added reseller partner. CTS has significant penetration in the UK market with over 60 field sales representatives and had been in the Interactive Display market for over 15 years. With that positive momentum in Europe, we expect that region to produce as much as 10% of our consolidated revenue in 2019. As I noted last quarter, we also see opportunity to grow our presence in Latin America. And we're pleased with a meaningful traction they are building. We recently sold 100 interactive panels to one of our key partners in Chile. As is evident we continue to grow our presence both domestically and abroad. We enter the fourth quarter with the largest sales pipeline in our history, in each of our major markets the United States, Latin America and Europe. Through Boxlight’s integrated suite of technology and software solutions, we aim to improve learning and engagement in today's classrooms and to help educators enhance student outcomes and build essential skills by developing the products they need. We strive to be the leader of innovative and effective educational technology solutions. Just a few months we'll be attending the 2019 Vet Show held each year in London Vet brings together some of the best minds in education technology to celebrate find inspiration and discuss the future of education, as well as the role technology and innovation plays in enabling all educators and learners to thrive. As you’ll recall last year at Vet we announced the availability of our MimioFrame, which turns a whiteboard into an interactive surface MimioSpace and then also wide system consisting of a 32 touch board and companion also wide laser projector and the next generation of our interactive touch table. We intend to unveil a number of new products with a focus on our core competencies of collaboration, assessment and STEM. But we expect will continue to shift the classroom dynamic to one of greater interaction and engagement through the power of technology. While I focus my comments thus far on our product suite, it's important to highlight our software solutions, which are the backbone to our product offering. Our software offering is the true point of differentiation is the benefit from our hardware comes from the ability to seamlessly integrate all of our products. Evidence full suite of hardware and software solutions positions us as a reliable provider. Additionally, in order to partner with a school district, a bidder must be able to meet all of their needs, meaning we are part of a small group that is capable of even submitting a bid. We offer the most comprehensive solution suite on the market and our products are designed to meet and operate within the budgetary constraints of any school district, our school anywhere in the world. Additionally our software has the capability to support and natively run the lesson plans from our significant competitors. It is for these reasons that we believe we're taking share in the large and growing educational technology space. The smart education and learning market is estimated to grow from $240 billion in 2017 to $994 billion by 2024 according to the Allied Market Research. The opportunity has never been greater for companies in the educational technology space. Whereas many of the large players are declining, we're growing. Making the necessary investments to drive innovation and change in today's classroom. So what is driving our success today and in the future, we will continue to benefit from: one, a comprehensive product portfolio that is designed to meet any budget and any district across the globe. Our proven award winning software has been developed, refined and enhanced for nearly 20 years with customer testimonials that allow the teachers to move forward with their existing lesson plans and focus on teaching versus spending time on developing lessons for a new environment. This is a tremendous advantage for us. We look at the world through the eye of a teacher and focus our development and solutions on making their life easier from a technology standpoint with our integrated platform that incorporates the peripheral technologies into one interface, which greatly reduces the learning curve and enhances product integration. Two, growing end market that as just discussed will reach nearly $1 trillion in sales by 2024. Three, strong customer relationships, this factor and the most valuable is how we are doing with our customers. We can honestly tell you that our customers are our most effective sales tool. We are letting our customers deliver our message with reference letters, customer visits, podcast and industry trade shows and conferences. Incredible customers such as Atlanta Public Schools, Clayton County, Buford County, McMinn County, Huntington Beach, Woodhaven and many others. They are telling other schools that we are meeting and exceeding their expectations and the world of public education is a tremendous competitive advantage. And lastly, our entire team here at Boxlight, the mergers that we have stimulated into Boxlight have continued to strategically enhance our company’s already strong competitive position within the education technology market. We have proven industry recognized talented leaders in every phase of our business. Our leadership team is second to none, and is a key element to our success today and in the future for our customers, our channel sales and distribution partners. We have attracted and retained some of the best talents in the industry. People with a passion for excellence in their functional areas and with a proven track record of success with industry leaders like Apple, McGraw Hill, General Electric, Promethean and others. Our people are simply the best and they believe in our collective abilities to change the classroom, change the world. Boxlight's revenue growth is an indication that we own the right path, we are winning large competitive bids and pilots in the public arena with districts that has approved to their constituency that they are spending their money wisely and receiving the best value possible. The market for technology and the classroom is also growing tremendously, there is no going back and it is a reality for every classroom across the globe. We are uniquely positioned to meet this demand with array of products and effective solution for every budget requirement and product. I believe we have the right combination to deliver significant growth in the future. Product introductions, growth in our reseller network and strategic acquisitions will be important facets to this growth. I've talked a bit already about our post-innovation, so I'll highlight our success growing our network of more than 500 global reseller partners. As you know part of our strategy is to grow this network and expand our reach in the market where Boxlight has limited penetration today. On this front, we continue to work with several new partners including Troxell, a national partner with whom we just recently won the San Diego Unified School District and the Iowa Area Education Agency Consortium bid. Raleigh, one of the largest partners in New England KCAV in the Midwest, DAC in Colorado, Bridge Tech in South Carolina, MTC is Georgia represent some of the new partners we've added. We also continue to work with our large national partners DDW [ph] and Howard Education Solutions. We work closely alongside our reseller partners throughout to sales process to ensure we tailor our solutions to meet the individual needs of each classroom powered with our technology. By partnering with channel partners with proven track record of success in their local markets, we can issue large projects that deliver on-time and on-budget. We also intend to complement our organic growth with strategic mergers and acquisition. Our approach to M&A is twofold. First, we are interested in opportunities where we can increase our worldwide distribution, particularly in EMEA, Latin America and Asia. Second, we continue to look for new technology solutions that we can sail into our reseller network. In the third quarter we announced the acquisition of EOS Education a consultant and professional development company for the K12 education market. Michael will cover the acquisition in greater detail momentarily, but I'll review a few highlights. The acquisition of EOS is part of our continued effort to provide the most comprehensive solution suite in the marketplace. The technology integration to be successful teachers need proper training, ongoing professional development and support. By adding the EOS Education team, we can immediately fill that need and provide a more robust portfolio of end-to-end services, which complement our hardware and software solutions given educators the training they need to fully leverage the technologies full range of possibilities. Overtime, we expect that our professional services division, will produce as much as 10% of our total revenues, with gross profit margins greater than 50%. We're also thrilled to welcome EOS's leaders Daniel Leis and Dr. Aleksandra Leis to the Boxlight team. Together with decades of experience managing high growth professional services business in emerging markets and sectors, they will bring incredible synergies to Boxlight. As is evident, it is an exciting time at Boxlight. Our mission to improve learning engagement in classroom and to help educators enhance student outcomes is taking hold as we continue to grow our reach and relevance in classrooms around the world. In summary, there are several foundational factors that must be in place to have a successful company, including a market with demand generated by real needs and requirements, products to meet their demand that are competitive and market worthy, with features, pricing, support and references. Customer acceptance, are you delivering against the expectations and will they tell others that they made the right decision. And people with values, integrity skills and vision, coupled with a track record of success. And lastly and most importantly profits, the ultimate indicator of success with a focus at Boxlight on growth for the long-term. This is accompanied with multiple challenges and primarily building the infrastructure and support. This has been our approach; we have invested our resources and energies to ensure we have profitability for our future continued success for our shareholders, customers and employees. With that, I'll turn it over to Michael Pope.
Michael Pope: Thanks, Mark. My comments today will focus on Boxlight’s recent acquisition of EOS Education, an Arizona based consulting and professional development services company focused on the K12 education market. As we have consistently messaged and as evidenced by our back to back successful acquisitions of Cohuba and Qwizdom earlier this year, our strategy is to complement organic growth, with strategic acquisitions. As we evaluate potential M&A opportunities, we continue to target companies to expand our worldwide distribution network and provide new technology content or services to enhance our solution suite. Through the acquisition of EOS Education, we can now complement our existing product suite with professional training, development and support programs and services that will significantly expand and strengthen our consulting and professional services offering. This is a key area of focus for us, further enhancing our ability to be a total solution provider and meet the evolving needs of today's educators at very attractive margins. The acquisition was completed on August 31st, and was financed through the issuance of 100,000 shares of common stock. With integration well underway, we look forward to building on our proven track record of successful acquisitions. This acquisition provides numerous benefits to Boxlight. Most importantly Boxlight will gain EOS Educations technology consulting training and professional development programs and services that significantly expand our comprehensive solutions suite, allowing us to better meet the needs of classrooms around the world. As Mark mentioned, the ability to provide ongoing professional services will better help teachers fully leverage our technology’s full range of possibilities, which we believe will drive greater adoption of our existing products suite in the future. This business carries with it higher margins and lower fixed expenses, as the business continues to scale, we expect Boxlight professional services division to produce as much as 10% of our total revenues, with gross profit margin is greater than 50% moving forward. And as Mark also noted, we are pleased to announce the acquisition as it brings the consulting and professional development expertise of EOS Education’s talented founders, Daniel Leis and Dr. Aleksandra Leis. Daniel will fill the role of Vice President of Global Services for Boxlight, while Aleksandra will continue in her role as CEO of EOS Education, which will now be a division of Boxlight. And with that, I will now turn the call over to our CFO; Takesha Brown.
Takesha Brown: Thanks, Michael. I will now review our third quarter 2018 results in greater detail. Revenues for the third quarter were $10.2 million unchanged from $10.2 million in the prior year period. However, as Mark touched on earlier, we invoice an additional $4.6 million of sales during the quarter, which were deferred in accordance with GAAP due to a portion of the payment being linked to final delivery to the end user. As a result we ended the quarter with $5.7 million in deferred revenue, an increase of $4.6 million over the same quarter last year. I will elaborate on this matter further when I covered the balance sheet. Gross profit for the third quarter was $2.4 million, down from $2.9 million in the prior year period. As a percent of revenue gross margin was 23.9% in the third quarter compared to 28.4% in the prior year period. The year-over-year decline in gross margin largely reflects a larger concentration of interactive panel sales with lower product margins. Total operating expenses were $4.4 million in the third quarter, up from $2.4 million in the prior year period. This was primarily driven by a $2 million increase in general and administrative expenses, which includes higher stock compensation of $0.4 million, professional fees of $0.5 million, primarily related to management advisory agreements and legal expenses related to acquisition transactions and SEC filings and operating costs for new acquisitions of $0.6 million. Research and development expenses remained flat for the third quarter of 2018. As a reminder the significant amount of our R&D expenses on our hardware are paid for by our contract manufacturers and ultimately built into the price at which we buy. Loss from operations for the third quarter was $1.9 million compared to net income from operations of $0.5 million in the prior year period, primarily driven by the $2 million increase in operating expenses previously discussed. Net loss for the third quarter was $1.2 million compared to net income of $0.5 million in the prior year period. The increase in net loss was primarily due to higher cost of sales, stock compensation expense and professional fees, offset by the change in fair value of the derivative liabilities. Net loss per diluted share was $0.12 on 10.1 million diluted shares outstanding for the third quarter of 2018 compared to net income per diluted share of $0.08 on 5.8 million diluted shares outstanding in the prior year period. Adjusted EBITDA for the third quarter, which backs out stock-based compensation and change in fair value of derivative liability was a loss of $1.1 million compared to a gain of $0.8 million in the prior year period. This result in adjusted loss per share of $0.11 compared to an adjusted earnings per share of $0.14 in the prior year period. Achieving profitability remains a guiding objective of the organization and we will continue to work towards this goal. Turning to our balance sheet, cash and cash equivalents as of September 30, 2018, were $1.6 million down from $2 million at December 31, 2017, primarily driven by our operating activities. To further improve our liquidity position and fund the continued growth of the company we anticipate raising additional capital through either debt or equity. Total inventories were $3.9 million at September 30, 2018, down from $4.6 million at December 31, 2017. Deferred charges were $3.4 million at September 30, 2018. This balance relates to the company entering into an arrangement during the quarter with the distributor with specified shipment to an interim site before final delivery. The distributor pay the majority of the invoice and the remaining balance is payable upon final delivery to the end user. The company deferred both the revenue and the cost of goods related to the arrangement until the goods are delivered to the end user. At September 30, 2018, the company had deferred revenue of $4.6 million and deferred cost of goods of $3.4 million related to this arrangement. The company expects that the majority of this revenue will be recognized in the fourth quarter. Total debt at September 30, 2018 was $3.7 million, up from $0.9 million at December 31, 2017. The increase was related to an increase in the proceeds receive from the accounts receivables factoring line of $0.8 million, operational loans of $1.5 million and Qwizdom acquisition loan of $0.7 million, offset by the payoff of a vendor loan of $0.3 million. In summary, we are pleased to have delivered 27% year-over-year growth in revenues for the first nine months of 2018. We look forward to the many exciting growth prospects on our horizon, including our expansion into the professional services industry, through our acquisition of EOS Education, which we expect to help us remain even more competitive in the ed tech space for many years to come. With that, we'll open up the call for questions.
Operator: At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Brian Kinstlinger from Alliance Global Partners. Please proceed with your question.
Brian Kinstlinger: Hi. Good evening, guys. Thanks very much. Your business has not typically seen a significant amount of deferred revenue. Can you just talk about what we different about this quarter that led to that higher deferred revenue?
Takesha Brown : Yes. Typically, you would not anticipate us having a large amount of deferred revenue. This was related to a particular contracts that we entered into that included a portion of the payment being tied to delivery to the end user and under the gap requirement, the amount of the payment that was related to the final delivery was considered significant and as such we have to deferred the revenue. We don't anticipate having large balances like this going forward, but it was particularly related to this one contract.
Brian Kinstlinger: When you say end user, you mean the customer and so with a partner, who received the product and then until it’s installed that to customer is that what you're talking about the end user?
Takesha Brown: Yes. The end user will be the actual school. Yes.
Brian Kinstlinger: Yes, okay. And then, I think something was mentioned about Troxell, and I missed that. So maybe you can update us on that partnership and any early successes you're having with them?
Mark Elliott: Yes, this is Mark Elliott and Brian thanks for the question. Troxell is one of the largest providers of audio-visual equipment in the United States in the education sector. They've got over 70 sales reps and we've been doing very, very well with them. We won an initial bid that came out for San Diego Unified School District together with them. And since then we also had a bid and what is a cooperative purchasing agreement that we submitted. We've also gone in with them on multiple other bids and opportunities across the country. We've been conducting planning sessions with their leadership team, their CEO, their Senior VP and their whole team with our team there we've outlined and been able to match up and map our channel managers with all of their sales people everywhere. And so we've been doing significant training and updates with them and participating with them in their trade shows and conferences. So we're really excited about the reach that they have and their professionals, as well as sales people are outstanding and they've got them across the country. And I think that if you were to talk to them, I'll tell you that they consider us a significant partner arrangement there because we provide so many of the capabilities we’ve talked about and our ability to win some of these bear comparative opportunities that have been out there.
Brian Kinstlinger: Great. And then on San Diego you'd mentioned the long-term potential was 8,000 students. Can you talk about the initial work that you won grade school. However you want to characterize it? And then for the additional work, is that also under competition where you see competition for that? Or are you the preferred supplier now that any of San Diego's need that you'll be addressing. If you can just comment on that relationship?
Mark Elliott: Yes. It was a -- they went through nearly year and half worth of competitive evaluations and pilots. And then they did a bid they went out. And then it was initially for 150 known classrooms that they need to replace. And by the way the opportunity would be for 8,000 classrooms there.
Brian Kinstlinger: Got it, yes.
Mark Elliott: Okay. But if and when we provide those capabilities and we will be positioned to do that and we should fall short all these bids off the chance to back out. But we don't think that we're going to have that at all especially given their length of time that they have to do the evaluation. And one of the key requirements they had was the ability to run their existing software there, which is active inspired from Hermetea [ph]. And we're very capable of doing that and approving that time and time again in bids in school districts that are using the software to now 15 year more that the people at Mimio have been able to develop and the their software. So we think we're very well positioned there, and it will be bids or opportunities that come up as their existing product sale or as they add new capabilities or new classrooms in their growth.
Brian Kinstlinger: So just to characterize, you’ve won the right to integrate your software and install your software in 150 classrooms as it relates to the other 7,800 or so that will come out in procurement process as well that would be competitive.
Mark Elliott: Well, this bid allows them to just move ahead. So 150 was just initially there. And so they could do depending on their budgets and what they get there and requirements there they could be buying off of this vehicle right now. San Diego purchases on a by-school basis. And we started with Troxell to identify that schools and do marketing materials and things like that to each school. Additionally, there was a piggy back clause in this arrangement that allows other schools throughout the State of California to purchase off of this agreement right there. And we think that that's going to provide a contract and purchasing vehicle that will be very advantageous throughout the State of California for us. So we were very, very happy about winning this opportunity. It was exhaustive and the work that they put in place and we see no reason that it won't continue to be their buying vehicle. And this was announced in public bid and then it went to their board for approval and it's been approved officially by the San Diego Unified School District. So this is what they would need and what they would purchase off of in San Diego for the immediate future.
Brian Kinstlinger: And just to be clear, are you the only one who has won that vehicle or are there others as well that have won their own vehicle?
Mark Elliott: No, we were the ones that won bid exclusively.
Brian Kinstlinger: Great. Last question I have is you mentioned a number of new products you plan release, but didn't really talk about them. So maybe you can highlight some of the key products that you see having an impact long-term on your business?
Mark Elliott: Well, a lot of it’s going to be software related, some of it may be related to some additional technology approaches that we're negotiating with some of the key contract manufacturers right now. So we would probably prefer to defer that until the announcements come out, which we're anticipating those to be at the Vet Conference in London this year, which is in the last several days of January. So they are eminent we just don't want to get too far ahead on that. But we are excited about our capabilities and some of the things that we're doing. Our Qwizdom merger there is where some of this is going to be coming from allowing us to be able to do a lot more in the Google world and also on cloud based type solutions. So, we’re excited about our future there and we've had a lot of companies probably every week we have technology companies coming to us with exciting solutions there and they come to us primarily because of the fact that they have the product knowledge, but we have the market and the sales and marketing capability and reach. So there's not a -- I can't imagine there is a ask to any solution out there that we haven't been approached by.
Brian Kinstlinger: Okay, thanks for your time.
Mark Elliott: Thank you so much.
Operator: Our next question comes from the line of John Noble from Taglich Brothers. Please proceed with your question.
John Noble: Hello and good afternoon. Thanks again for taking my questions. And actually it was good congratulations in order for the margins the gross margins I know last call you had mentioned back into the mid-20% range and I see that they there already. So that was nice to see you deliver on that. But if I could just talk about the third quarter in particular, I know that revenue was flat with last year's third quarter, I was expecting maybe significant growth in revenues in light of the Clayton County order. There was $11 million order from Clayton County, I believe about $3 million shipped in the second quarter. So I was just curious in that order how much shipped into this third quarter and what you expect in the fourth quarter? Could I assume that the deferred revenue a good portion of it maybe is in relation to the Clayton County order?
Takesha Brown: Yes, the deferred charges that we discussed earlier are related to the Clayton County order.
John Noble: Okay. And as far as that order, there was still about $8 million, I think, that was scheduled to ship in the second half. Could you quantify what was the shipped in the third quarter and what do you expect on that order to be in the fourth quarter? Roughly.
Takesha Brown: We had -- go ahead.
John Noble: Okay. No I just -- not exact numbers, but just to get an idea because obviously the fourth quarter looks like it’s going to be a very strong as matter of fact stronger than the third quarter, which seasonally I believe is your strongest quarter. So I was just hoping to…
Mark Elliott: The Clayton County installation is going incredibly well. We've had update meetings with them constantly a status cause and things like that and they will tell you that we’re exceeding in all their expectations. We had a comment we just recently introduced EOS into their organization and their CIO call me to let me know that he thought that EOS had the best understanding of the requirements for professional development and training. He's ever been exposed to an education market. We probably installed about half of their classes through the end of the third quarter and we'll have -- we're installing about 150 to 200 a week there during the fourth quarter, with the potential to pick up some more of that during the break during Christmas and Thanksgiving. Because they don't have to work around school schedules there. So we’ll have a significant portion of that done. And then we'll have some that will still fall over into the fourth quarter. And the same is true Buford County South Carolina got about 1,800 classroom they install right at 600 right now. And we will be installing those at a similar rate of 100 to 150 classrooms a day there throughout the fourth quarter, and then the remainder of those should roll over into the fourth quarter. And what's exciting about this is that initially these days we were expecting them to be rolled out over a two to three year period. And when the superintendents and the constituency and the board members saw the initial success in the classrooms that they had, they decided in Clayton County that they wanted to go from doing it over a two year period to having it done in six months. And so that's a real testimony to our success there and to their appreciation and willingness to talk about others about what a great job they're doing and put their money behind this investment. Because they are a district that has tremendous pride in what they're doing and a great opportunity to show some tremendous results using technology in schools.
John Noble: Okay, thank you for that clarification on Clayton County. Obviously expectations for that to be delivered in the fourth quarter with -- while better than I expected revenue coming up. Thanks for the guidance in that area. But speaking of EOS, I know what you paid for it. So I was just trying to get an idea what we should expect on an annual basis in revenue only because you had mentioned it's going to be maybe 10 -- is this EOS alone responsible for maybe 10% of total revenue believe coming forward or is that going to be just a smaller portion of this segment that you're talking about?
Michael Pope: Yes. I can take that, this is Michael. So historically it's not 10%. We’re saying on a going forward basis, that should be the expectation in the near future that we ought to have approximately 10% of our total sales be in the services category. But the company with small -- when we acquired the company, and it's significantly lessen that today. But we're moving forward with some very large opportunities and we don't have a timeframe specifically that we've announced, but we think that should be the goal for us to be in that range.
Mark Elliott: The reason that EOS approached us about bringing them into our company together with them is because they've done incredibly well in one market in Arizona. And what their expectations are is that we will be able to take their suite of over 50 classrooms their classroom material, certified materials that we can deliver throughout our customers. And so each of our sales reps has now been targeting their key customers and we're bringing them in. So I think it's very realistic to expect that we will be able to bring in certified classrooms and training across the board.
Michael Pope: And John, just one other one note, would be that the margin is of course on professional services is much higher than it is on some of our hardware sales, right. And so, and I think we've provided a guidance to you and everybody that we strictly…
John Noble: Right approximately 50%. So obviously in due time when that does ramp up maybe to 10% of total sales. I would believe that should be a nice bump up in total gross margins with this coming into play from mid-20s into 50%. So I mean, I’ve had to model that out.
Michael Pope: That's right. So the contribution will be twice that right of say our existing sales.
Mark Elliott: And the good news is that the school districts across the country and the world now recognizing that they need to do a much better job with training. And so this allows us to come in with training that can be done not only on our software, but on competitive products that are out there, as well as Google integration and Microsoft and a lot of other things. So we're seeing a tremendous amount of excitement from our customer base. And every time the EOS people go in as I mentioned, the people at Clayton County say that they were without question had the best understand and your solution suite of anything that they have seen. So it's a tendency across the education market to spend and invest more in training and professional development and utilization other technology. And we think that this merger is going to help us tremendously in this area and 10% is not unrealistic for us to expect and to move forward.
John Noble: Okay, beautiful that's good to hear. I just have one further question here, how much of your business is currently replacing or updating products that you provided several years ago? And do you see this as a primary driver of growth that you believe that the school district expansion will deliver most of your growth going forward?
Mark Elliott: As I mentioned a lot of the business that we're having Atlanta Public School is a bid we won several years ago. And initially they thought they had budgets in place to do that over a two to three year period taken a lot of that but they continue to invest and grow. They've done about a third of their classroom potential. And this year we expect based on the budgets that they get that they will continue to do a third more and possibly complete their installations there. So multiple school -- or just about all the school district have some kind of phased rollout that they're going to be involved in. So a significant portion of our business will be initial orders and then they come up with budgets and then they come up with their priorities on how they're going to implement it. And it could be based on a middle school or elementary school strategy or it could be based on a geographic area within the region. So they decide how they want to deploy them. So it's somewhat predictable and that we know how many they have left to go and that they standardize on our approach and the training and things like that. But I've known typically as whether or not they have a bond wrapper end that passes or not.
Michael Pope: And, John, a little bit more to that question that the vast majority of our sales is replacement business right now. They are replacing old technology with newer technology, primarily here in the U.S. with interactive flat panels. Now it's not all the business that we're replacing, it's going to be our main competitors that we're replacing their old technology. But the whole business going forward as we continue to grow and we provide good service in the future we will be replacing our own technology that these will be customers for life.
John Noble: Right. And I understand because I mean the way technology is moving I would imagine even something that you've placed in the school district I don't know how many years ago. Eventually that's going to need replacing also, which obviously…
Mark Elliott: And another advantage that we offer John is that our peripheral products we have. We sell document cameras, we sell voting devices, we sell tables and a lot of other solutions that are there that many of our competitors don't offer. Same devices like we done with the lab desk there. So once we're into the schools there they will have the potential to be acquiring and adding on additional peripheral products. And we've seen that happen a lot across the board. They see what we've done and we had to come back in and they say okay, we will now add your document cameras and now we want to add your voting devices or now we want to add the tables that are there. So that's a big advantage that we have because it's all integrated into our solution and makes it easier for them to install and also to purchase.
Michael Pope: And, John, one more comment, as you’re trying to model out replacement what you're asking about typically we look at five to seven years that's the replacement cycle. So we do a large installation of technology in the school, we plan to being back in that timeframe.
John Noble: That's good to know the recurring replacement revenue obviously it's not like a one and done with technology. So on average I could look at maybe five to seven years in need of replace.
Mark Elliott: Right. And another advantage that we offer with our integrated peripherals that we have right there is that our channel partners really like that. They like to be able to get their foot in the door through a variety of ways. They can go in with just document cameras, but then come back. But they can get in with the flat panel and then add these other solutions so their relationship oriented sales teams that they have there is not just the one and done. And they come back five years later they're in there all the time with them adding solutions that we ask to them. And these peripheral products come with higher margins.
John Noble: Beautiful. Alright, well listen, I'll open it up for others. I don't want to take up all of this call. Thanks for taking my questions.
Mark Elliott: Thank you, John.
Michael Pope: Yes. Thank you, John.
Operator: Our next question comes from the line of Hunter Diamond with Diamond Equity Research. Please proceed with your question.
Hunter Diamond: Hi. Firstly, congrats on the very strong quarter. So my question is just one question that relates to the gross margin. I know there was a larger concentration of interactive panel sales with lower product margins. Do you anticipate this continuing going forward or do you have any predictability and sort of these margins when they change quarter-to-quarter. People looking for just more touch displays now?
Mark Elliott: I can say from the product side that I believe that flat panels -- it depends on the market here in the United States that appears to be the tendency although we are seeing some interactive projectors and other technologies. Our new frame products and our new MimioSpace have brought in some very significant wins that we have. For instance Collier County down in Florida for purchased 442 of our frame solutions right there. So those come with higher margins and they're at a lower price point, which is advantageous for us in markets outside of the United States. So like Latin America and the EMEA group right there. The flat panels, we're seeing in the bids that are there, everybody is got to get as aggressive as they can to win the bids. The good part about bids is that as time goes by, the price that you're in our manufactures have been constantly having to reduce their prices. So a longer term bid year one maybe at lower margins, but year three maybe at high margins because our costs have gone down from the manufacturers that are there. And we're also seeing like in the Europe market in the UK, a significant number of competitors are going out of business. They've stopped doing business so that's taken desperate competitors out of the way and that's something. Additionally they're all asking for five to seven year warranty sometime and companies that are startups or that are smaller that have been playing in this arena right here or trying to play in this arena, the school districts really look at them as far as their ability to provide any longevity of support for them. So all the factors are there, with waning out of competitors and with the fact that we have installations that occur over multiple years position us for the margins to stay in a respectable area that we can run our business from and from what we're now recognize and we're going to be adjusting all of our approaches there recognize the flat panel influence there.
Michael Pope: Yes, Hunter, I’d just add that right now we're in the mid-20s, we expect to stay in the mid-20s in the in the near future. So even with a higher concentration of flat panels and the flat panel adoption happening throughout the U.S. and even globally will be in that range. If we're looking beyond in a few years, we think you're going to see an uptick. And we're going to get that uptick from additional technologies that we're looking to bring on. It'll be higher margin through professional services, which we already talked about, which we have higher margin and also our software strategy. The software also brings higher margin. And so again, mid-20s for now in the future, we hope to be significant higher than that.
Hunter Diamond: Right. Perfect. All right, thank you very much.
Mark Elliott: Thank you, Hunter.
Operator: Our next question comes from the line of Patrick Murphy from Maxim Group. Please proceed with your question.
Patrick Murphy: Hey. Good afternoon, everyone. Just a couple quick one. First, can you give us any color on international sales versus domestic sales? And how do you view the international opportunity going forward?
Mark Elliott: Well, for the international side, in the EMEA market, the merger that we had with Cohuba positions us incredibly well over there. They were a company that was had a -- is a primary shareholder Tony Cann, who is the Founder of Promethean. And so they have people in place we brought along the CEO of that group who was a Former Head of Product Management for Promethean there. And we’ve recently recruited from some of our competitors over there, some of the top sales people there. So we're looking at them to do in excess of 10% for us next year we've got probably five, six sales people, they're working within a team to go after that. So we've got channel partners who we’re building off of, we’ll have a channel partner meeting and that we're expecting in excess of 50 partners to be there for us. And so EMEA and with our merger of the Cohuba team has really positioned as well to do that. In Latin America, we have an outstanding sales team down there. And because of the fact that we have products like our MimioFrame and the Mimio Teach device that’s there that allows them to get technology into the classroom for a lower cost than the flat panel we feel that we're very uniquely positioned to see continued growth in that market. And we're starting to see that with the recent introductions there we're seeing pickup across the board. We also sell interactive whiteboards still and there's a big market for that. In Russia we sold several hundred there and we have demand we believe it's going to have tremendous uptick on that side as well. So it's great that we got a lot of different solutions that allow us to meet that and two of our main competitors aren't selling in those markets and lower costs if they are they're only offering flat panels. And so that positions us to take advantage of the fact that we can go in at a much lower cost and still provide interactive solutions and bring the world into the classrooms in the countries around the world. So we're going to continue to grow there and we're going to see a much stronger presence than what we've had in the past.
Michael Pope: Yes. And Patrick I would add to that. We’re going to be in a better position next quarter that we'll give a little bit more guidance on what we think we can do internationally. If you look year- to-date the vast majority or 95% or so of our sales came from the U.S. But as Mark mentioned for next year we have already provided a little bit of guidance on the European market that we think that could be as much as 10% of our sales for next year. And again, we'll provide some additional guidance next quarter on what to expect after we go through our budgeting process internally.
Patrick Murphy: Okay, thank you. And then, next how do you guys think about the path to profitability, is there like a revenue target that you are looking at and trying to hit or do you expect to realize some operating leverage and some benefits some product mix shift over time due to this professional services business?
Michael Pope: Yes, so to this point our focus hasn't been on profitability, our focus really has been building a company that we think could be a very large player in ed tech market. And you can see that by the management team that we assembled. You can see that the companies we acquired. You can see the products we put in place in our marketing, operations group, et cetera. So our focus has really been on growth and we've been delivering on a growth, you can see that. But we do understand that we do need a start to be profitable in the near future and be self-sufficient. And so that's something we're going to be discussing in our budgeting process for next year and we anticipate being close to cash flow positive next year. That's our plan.
Patrick Murphy: Okay, great. And then one final one. Historically it looks like third quarter has been your strongest quarter, but as we look forward and start to think about, first, the guidance you provided for fourth quarter and then beyond that some of the larger orders that you expect to see in the future in the second quarter and third quarter, do you think we could start to see some of that revenue realize in the third quarter push back into the fourth quarter on these large orders like we're seeing now?
Mark Elliott: Yes, these large orders certainly do help from that standpoint because they deploy throughout the year. The reason the third quarter is historically the biggest is because that's when the budget start and that's when schools are out. And so there more implementations that can be done without having to schedule around classes that are there. But when you have a large order that's going to be deployed over a year or two years of time then we'll see more of a smoothing out of that seasonality. So that certainly helps us from that standpoint. So it's good to have the big orders and it's good to have the ability to predict what they're going to be doing as far as scheduling our resources and things like that. And it's also good to have them because of other products that we have to support them that we can continue to sell into the customer base with including services in our peripheral products.
Patrick Murphy: Okay, great. That does it for me. Thank you very much, guys.
Michael Pope: Thanks, Patrick.
Operator: Ladies and gentlemen we have reached the end of the question and answer session. And I would like to turn the call back to CEO Mark Elliott for closing remarks.
Mark Elliott: Okay, well everyone thank you so much for joining us and we look forward to do good things here, great things here in our company. We're very optimistic about our future and we appreciate you taking the time to join us today. So thank you and have a great week. Bye-bye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.